Gary Dvorchak: Okay, I think most of the attendees have connected, so we’ll get started. So, good morning and good evening, everyone. Welcome to PropertyGuru Group Limited’s First Quarter 2022 Results Conference Call. We will refer to the company as PropertyGuru during the call. I am Gary Dvorchak, Managing Director at The Blueshirt Group, PropertyGuru’s investor relations firm. Joining us on the call today are Hari Krishnan, our Chief Executive Officer and Managing Director and Joe Dische, our Chief Financial Officer. First Hari and Joe will discuss highlights of the quarter then we’ll take your questions. Before we start, a few reminders. Firstly, our results and additional management commentary are available in the earnings release that can be found on the Investors section of our website @investors.propertygurugroup.com. Secondly, today’s webcast is being recorded. A replay of today’s conference call along with the transcript will be available later in the Investors section of our website. Thirdly, we’ll be making forward-looking statements within the meaning of the U.S. securities laws, including but not limited to statements regarding our future financial results and management’s expectations and plans for the business. These statements are neither promises or guarantees and involve risks and uncertainties that may cause actual results to vary materially from those presented here. You should not place undue reliance on any forward-looking statements. Please refer to our earnings release and SEC filings for more information regarding the risk factors that may affect our results. Any forward-looking statements made in this conference call, including responses to your questions are based on current expectations as of today and PropertyGuru is not obliged to update or revise them either because of new developments or otherwise except as required by law. Fourthly, this call will also contain non-IFRS financial measures. For a reconciliation of each of these non-IFRS financial measures to the most directly comparable IFRS metric, please see our earnings press release, which is available in the Investors section. Fifthly, all dollar references are to Singapore dollars unless we state otherwise. Finally, as a reminder, because PropertyGuru is a foreign private issuer, it is not required to file a 10-Q. However, we intend to report quarterly, which reflects our commitment to full and effective disclosure to our shareholders. With that, let me turn the call over to our CEO, Hari Krishnan. Hari?
Hari Krishnan: Thank you, Gary, and thank you all for joining us today for our first earnings conference call as a public company. We enjoyed meeting so many of you throughout the listing process and appreciate your support in our journey to becoming a public company. We look forward to strengthening those relationships and making new ones among the analyst and buy-side community.
SPAC: Listing on the New York Stock Exchange provides us with many strategic benefits. With a liquid stock, we can better act on strategic M&A-driven growth opportunities. We can also attract and retain the world-class talent we need for our next stage of growth. On today's call, I plan to focus on three main topics. Firstly, the current market environment; secondly, an operational update on our business segments; and lastly, a recap of our growth strategy to drive our business towards realizing our ambitious vision. Southeast Asia is opening again after nearly two years of COVID pandemic. Movement restrictions have been eased in all our markets. Lockdowns are ended. Borders are open. Vaccination rates are up and life is returning to normal. As a result, the regional economy is on a rebound. Drilling down on the property market specifically, I want to share highlights from our proprietary property market reports, which we publish quarterly. In Singapore, the property market has seen strong price growth in the last 12 months. With the introduction of property cooling measures in December 2021, sales demand has moderated, which encourages competition amongst property agents. In the rental market, both price and demand are bottomed. Some of this growth is driven by under supply of new construction real estate caused by the pandemic-driven slowdown in the construction sector. We do anticipate that with construction picking up, supply will improve and there will be continued need to match the supply with the significant demand. In Malaysia, the property market is showing some positive signs of recovery. Both sales and rental markets have seen improvement in price in Q1 2022 over Q4 2021. In addition, rental markets have been in demand. In Vietnam too, the property market is showing some positive signs of recovery. Property demand in Q1 2022 for both buying and renting was 2% higher than the pre-COVID period of Q1 2019. Next I'd like to share our business highlights. We are happy to report a robust first quarter of 2022. We delivered S$28.2 million in revenue, growing 42% over the same period last year. This performance demonstrates that our investments in talent and technology over the last two years are delivering positive results. In the last two years, we hired strong talent across the business, invested in our technology infrastructure, expanded into fintech with the launch of our mortgage marketplace in Singapore and made three acquisitions.
MyProperty Data,: Our Marketplaces business segment had robust growth in Q1 as revenue increased 41.7% year-over-year. This growth was generated through improved yield, higher utilization of our premium products and the inclusion of iProperty in Malaysia and Think Of Living Thailand in 2022. Marketplaces growth was complemented by strength in our nascent fintech and data services business segments. In fintech, we are on a journey to make home financing fully digital in order to make the process seamless for the home buyer and create additional income avenues for our agent partners. In Q1, we launched the digital document collection tool, enabling users to provide all required loan application documents by uploading them online. Recently, the total value of loans processed by us crossed the S$2 million mark. In our data services business segment, we have continued to leverage our proprietary property market data and our data science and technology capabilities to provide market insights and intelligence for agents, developers, property seekers and banks. Singapore and Malaysia are key markets for us for this business. We're looking at opportunities to expand these services across the region. In Q1, we hired our Managing Director for this business and she brings good experience building software solutions for enterprise players in a dynamic technology-enabled sector. This experience will be a critical asset as we build out our software products and expand our data solutions. Looking ahead, we reaffirm the 2022 full year forecast provided during the listing process. We are confident that the strength of our organization, combined with recovering economic conditions in our core markets, will drive growth. We are transforming the business of real estate in Southeast Asia, enabling agent customers, sellers, and landlords to find each other by injecting transparency into our markets. Our marketplaces and growing ancillary services are reducing the friction in buying, selling, and renting property, creating value for all market participants. We believe our value creation journey has just begun and we will create trust within the property ecosystem in Southeast Asia over time. This in turn should allow us to capture value for years to come. Now I will turn the call over to Joe Dische to cover our financial results. Joe?
iProperty: Our Marketplaces business segment had robust growth in Q1 as revenue increased 41.7% year-over-year. This growth was generated through improved yield, higher utilization of our premium products and the inclusion of iProperty in Malaysia and Think Of Living Thailand in 2022. Marketplaces growth was complemented by strength in our nascent fintech and data services business segments. In fintech, we are on a journey to make home financing fully digital in order to make the process seamless for the home buyer and create additional income avenues for our agent partners. In Q1, we launched the digital document collection tool, enabling users to provide all required loan application documents by uploading them online. Recently, the total value of loans processed by us crossed the S$2 million mark. In our data services business segment, we have continued to leverage our proprietary property market data and our data science and technology capabilities to provide market insights and intelligence for agents, developers, property seekers and banks. Singapore and Malaysia are key markets for us for this business. We're looking at opportunities to expand these services across the region. In Q1, we hired our Managing Director for this business and she brings good experience building software solutions for enterprise players in a dynamic technology-enabled sector. This experience will be a critical asset as we build out our software products and expand our data solutions. Looking ahead, we reaffirm the 2022 full year forecast provided during the listing process. We are confident that the strength of our organization, combined with recovering economic conditions in our core markets, will drive growth. We are transforming the business of real estate in Southeast Asia, enabling agent customers, sellers, and landlords to find each other by injecting transparency into our markets. Our marketplaces and growing ancillary services are reducing the friction in buying, selling, and renting property, creating value for all market participants. We believe our value creation journey has just begun and we will create trust within the property ecosystem in Southeast Asia over time. This in turn should allow us to capture value for years to come. Now I will turn the call over to Joe Dische to cover our financial results. Joe?
Think Of Living: Our Marketplaces business segment had robust growth in Q1 as revenue increased 41.7% year-over-year. This growth was generated through improved yield, higher utilization of our premium products and the inclusion of iProperty in Malaysia and Think Of Living Thailand in 2022. Marketplaces growth was complemented by strength in our nascent fintech and data services business segments. In fintech, we are on a journey to make home financing fully digital in order to make the process seamless for the home buyer and create additional income avenues for our agent partners. In Q1, we launched the digital document collection tool, enabling users to provide all required loan application documents by uploading them online. Recently, the total value of loans processed by us crossed the S$2 million mark. In our data services business segment, we have continued to leverage our proprietary property market data and our data science and technology capabilities to provide market insights and intelligence for agents, developers, property seekers and banks. Singapore and Malaysia are key markets for us for this business. We're looking at opportunities to expand these services across the region. In Q1, we hired our Managing Director for this business and she brings good experience building software solutions for enterprise players in a dynamic technology-enabled sector. This experience will be a critical asset as we build out our software products and expand our data solutions. Looking ahead, we reaffirm the 2022 full year forecast provided during the listing process. We are confident that the strength of our organization, combined with recovering economic conditions in our core markets, will drive growth. We are transforming the business of real estate in Southeast Asia, enabling agent customers, sellers, and landlords to find each other by injecting transparency into our markets. Our marketplaces and growing ancillary services are reducing the friction in buying, selling, and renting property, creating value for all market participants. We believe our value creation journey has just begun and we will create trust within the property ecosystem in Southeast Asia over time. This in turn should allow us to capture value for years to come. Now I will turn the call over to Joe Dische to cover our financial results. Joe?
Joe Dische: Thanks, Hari, and hello, everyone. The main topics I'll discuss today are firstly, an overview of our first quarter financial performance; secondly, an update on our capital structure and financial position post-merger; and largely, our outlook for the balance of 2022. As details are available in our release, I won't refer to every number. We will just focus on the primary drivers of performance. All the figures I’ll refer to will be for the first quarter of 2022, unless I announce otherwise. The highlights of Q1 was a 42% year-on-year increase in revenue. Revenue growth was strong across all our business segments. Note that Q1 is seasonally weak in revenue due to Luna New Year holidays. Importantly, these results demonstrate the effectiveness of our investments in technology and product innovation over the last two years, which is enabling us to capitalize as the markets recover from COVID-19. Our marketplaces segment revenue increased by 41.7% year-on-year. Let's break down the results and talk to each of our largest markets. In Singapore revenue increased 23.8% to S$15 million. We are monetizing agents more effectively with average revenue per agent increasing 25% versus the prior year. This was driven by increased premium product adoption and flow through effects of the subscription price increase in Q4 2021. We maintained our subscription renewal rates at a high level of 79%. We saw an increase in agent partners to 14,719, which is above our projections. This was due to the strong property market in 2021 attracting new agents and retaining existing agents. Developer revenue was negatively impacted as operating conditions were more challenging due to delays in new project launches and COVID-induced labor and raw materials shortages. Vietnam performed well in the quarter with S$5.1 million in revenue up 18.6% from a year ago. We are attracting more new listings to our platform and improving yield per listing too. Our property listings in Q1 expanded by over 14% to S$1.65 million and the average revenue per listing grew by 2.4% versus last year, as we increased the penetration of premium products. Malaysian marketplaces revenue increased significantly to S$5.4 million from S$1.9 million a year ago, largely due to the successful integration of property, which the company acquired in August 2021. In Malaysia, we continue to focus on the integration of our businesses, including sales teams and back office operations and we have recently consolidated into one office. Finally in the revenue line, data services and FinTech combined revenue reached S$1.02 million. These business segments are in the nascent stage, but show great promise. We're excited about our achievement so far and our growth plans. Moving on to margins, net loss for the quarter was S$120.3 million primarily due to accounting adjustments for the business combination with Bridgetown 2. We are pleased to deliver positive Group adjusted EBITDA of S$0.9 million, which is S$3.7 million better than our last year as revenues rose and costs were well managed. Please note the profitability per quarter will be uneven during the year as quarterly revenues and costs vary by period. Segment margins in Singapore, Vietnam, Malaysia marketplaces showed positive trends year-on-year. Malaysia had the largest increase year-on-year improvement due to the cost benefits of the integration with iProperty. Looking at the balance sheet, we ended the quarter with S$369.5 million in cash up from S$70.2 million at the end of December 2021, reflecting the proceeds of the listing. We are pleased to confirm the 2022 projections that we provided during the listing process. We expect revenue growth of approximately 44% and positive adjusted EBITDA for the full year of 2022. While the pandemic in Southeast Asia is easing, we will continue to carefully monitor the macro backdrop and evolving market dynamics. We are confident in our leadership across our priority markets and the attractive value propositions we offer to all our customers. We expect to reap the benefits from our investments and execute our organic growth plan across marketplaces and FinTech and data services. With our strong balance sheet and listed equity we are in a solid position to pursue M&A opportunities across the US$8.1 billion TAM in our region. We will look to acquire and grow businesses that complement our existing FinTech and data services businesses. We also plan to investigate the developer operating systems as developers look to digitize their operations and gain efficiencies and execution capability. And finally, we plan to explore opportunities in home services around digitizing the selection and operation of contractor and moving services. And now we'll turn the call over for questions. Gary, we are ready for the first question.
A - Gary Dvorchak: Excuse me, okay. So let me give some instructions first for the Q&A session. [Operator Instructions] So we're going to start with Nick Jones of JMP. So let me allow you to talk. Nick, go ahead.
Nicholas Jones: Great. Thanks for taking the questions. I guess a couple. First, can you talk about what you're seeing in the region kind of from a macroeconomic perspective, is kind of the recessionary fears in some countries trickling into those or are those proving to be somewhat resilient? And then kind of a financial question for Joe after. Thanks.
Hari Krishnan: Yes, thank you for your question, Nick. I think as you might imagine, the recovery from COVID has been uneven across the region and then the economic headwinds that are affecting the globe, supply chain disruption, et cetera, do impact our region. Having said that, Singapore continues to grow well. The other regions, other markets rather in our region are also gradually opening up and delivering good results, I would say. Specifically to our business, though, if you look at the macro tailwinds that we talked about in the listing process, the organization, the digitization, the emergence of GDP -- the growth of GDP per capita, those continue. So there's still a big focus on construction, construction of residential housing that remains a big focus for all governments in our region. So I do believe there will be some macro headwinds. This region is going to have the same challenges as other parts of the world. But I think some of the stuff that we've talked about specifically to do with the housing continue to be tailwinds to our business.
Nicholas Jones: Got it. And then, Joe, could you maybe talk a little bit about how we should think about the seasonality? I know in the press release, you talked about 1Q being a little softer and that's typical. How should we think about the seasonality for the rest of the year as we think about modeling out the 2022 guidance quarterly?
Joe Dische: Sure. I think -- Yes, there's a couple of factors at play here. I mean, more broadly, we're influenced a lot by the festivals that happen in our markets, which do have an impact on the amount of property-related transactions that occur and also, therefore, the amount of spend on our site. We actually have many of those Lunar New Year holidays, Chinese New Year and Tet located in that first quarter. So for that reason, seasonally, things were a little slower. And also, there are elements of business such as awards and events, which do tend to gather momentum later in the year. And also in many of our markets, we have traditional buying seasons, particularly around sort of Q2 and into Q3 as well. So those are the major factors that certainly affect seasonality.
Nicholas Jones: Got it. And then can you speak to the broader - most of the broader market have compressed pretty quickly. Does this create maybe an opportunity to get more aggressive in M&A from here? And how do you feel about the pipeline and the multiples you're seeing for some of the targets?
Hari Krishnan: So maybe I'll take that one. When it comes to our M&A, we've had a pretty good pipeline in the areas that Joe talked about, fintech, data services, home services, et cetera. That pipeline, we continue to evaluate opportunities on the merit, on individual opportunities that exist out there. Clearly, market conditions do impact all the businesses in the region, our balance sheet being stronger and our business performance being more robust, obviously, puts us on the front foot in some of these conversations. But at the end, we're looking for good entrepreneurs, who are solving meaningful problems in the housing ecosystem in our part of the world. And we believe we have a few that we've identified, but at this point, we're not -- have the ability to disclose how many and which specific ones, but our teams are assessing potential opportunities for M&A.
Nicholas Jones: Great. If I can squeeze one more kind of housekeeping item. The renewal rate in Singapore actually dipped down a little bit in 1Q versus what we saw in 2021. Is that due to the seasonality or is there something else that you'd like to flag there? Thanks.
Hari Krishnan: So I think I might take a stab at it and then Joe can elaborate as well. But I think the seasonality -- the renewal rate for the agent subscriptions in Singapore tends to be within a certain band. So I wouldn't look too much into movements within that. I think as we mentioned in the listing process, many of the things in 2021 and 2020 were a flight to quality. We saw more and more, both on the supply and demand side. We saw all-time highs of participation of the agents as well as property seekers as people move to more of their traffic, more their activity onto our platform versus any other platform. I think those high watermarks, if you like, are not preconditions to building our business or the underlying revenue or growth of the business itself. So I think there's nothing -- I wouldn't read too much into slight movements on the renewal rate itself. Joe, anything else you'd like to elaborate on that?
Joe Dische: No, I think that's it, Hari. I mean we had slightly more agents actually in our Singapore marketplace than we projected. So we're up about 14,719 as opposed to 14,000 and that's really reflective of the relatively sort of strong market that we're seeing in Singapore. We always get a number of agents who cease being agents to do other things, and that can be exacerbated by market conditions, where we've definitely seen agents staying in the market because it's been quite strong and new agents, some of whom physically couldn't pass exams, which is what we have to do in Singapore to become an agent going through those and joining the platform. And obviously, they were all gravitating to our site as we obviously offer the largest volume of leasing market.
Nicholas Jones: Great. Thanks for taking the questions.
Hari Krishnan: Thanks, Nick.
Joe Dische: Thanks, Nick.
Gary Dvorchak: Okay. The next question will come from Long Lin at Benchmark.
Long Lin.: Hi, can you hear me?
Hari Krishnan: We can hear, yes.
Long Lin.: Okay. Thank you for taking my questions. So I have a question about -- can management talk about more detail about the integration of Malaysia acquisition? Do we see like additional cost savings from that we could achieve? Also, can management provide like margin expansion outlook for the full year 2022 and beyond? That's my first question. Thank you.
Hari Krishnan: Thanks for your question. Joe, maybe you want to take a stab at that?
Joe Dische: Yes. So certainly, I'm not sure I fully picked up just the last comment. But just to talk to management cost savings. We search by ourselves when do M&A on having good industrial logic for those and not more so than iProperty and PropertyGuru in Malaysia. These two sites, we were spending an awful lot of money on marketing directly competing with each other, mostly Google and Facebook and those are the first two things we've been able to switch off or sort of turn down. So therefore, we're making good marketing savings in that aspects, and that's going very much to plan. And on the other side, there are sort of people expenses as well. There was a lot of duplicative services and things we were doing. We've now moved to one sales team selling two brands. So there's definitely efficiencies there. And also in the back office as well, we've been able to absorb sort of functions centrally across finance, HR and technology and then other savings, such as bringing people together in sort of one office location, et cetera. So it's making really good logic. I think more broadly, with that integration, we're spending less time sort of competing with each other and more time really servicing our customers and our clients and offering them better service, noting we have both brands out in markets are giving fantastic consumer choice.
Long Lin.: Thank you. My second question is about what's the company's target for fintech business this year and maybe next year as well? Any immediate plans on like marketing expansion, advancing Singapore to new countries?
Hari Krishnan: Thank you for that question. I’ll take the second part of that question. I think for us right now, our initial market focus is very much on Singapore. We are assessing our other core markets to look for opportunities. But currently, PropertyGuru finance and the mortgage brokerage business, the smart mortgage brokerage that we have and its innovation is very much focused on the Singapore market. We think the potential is quite larger. And though the total volume of loans that we have brokered has crossed S$2 million, we believe that's just the start. We've been in the country only about two years. Both years have been heavily impacted, obviously, by COVID. As the supply comes online as new construction as new projects launch, obviously, the demand for property financing is going to increase, and our focus is going to be here. Beyond that, we will assess other opportunities. And then obviously, there could be an opportunity to address some of those solutions in other markets via M&A. So again, we don't have anything to announce today, but that is another opportunity for us to assess other markets. Joe, I think the first part is around fintech targets for the year, I guess.
Joe Dische: Yes. Look, I think obviously, in the F4, we put some projections there for fintech certainly for the 2022 year, I think it’s the 2022 forecast is about 8 million across fintech and data services and this is really just a start for us. So the core business area there really is Singapore on the fintech side with our brokerage business there. We're obviously considering other opportunities in other markets. And on data, we purchased MyProperty Data in Malaysia, which is going very well, and we're taking a lot of the ideas and functionality there and pushing those across other markets, so particularly in Singapore at the moment. So those are the major drivers of our revenues, and we're very excited for the future. And it's also a focus and I've mentioned in terms of M&A as well of opportunities potentially out in the market there.
Long Lin.: Got it. Thank you. I also have a follow-up. I'm not sure I got it from the first question. So basically, for the margins, do you expect to see some kind of margin expansion in the full year?
Joe Dische: So in the full year, we're sticking to our forecast, S$145.1 million of revenue and S$11.4 million positive adjusted EBITDA. We're definitely seeing obviously, we're moving from negative adjusted EBITDA last year, so we're seeing margin improvement there in profitability. And this is despite the fact that we're investing quite heavily in data and fintech as well. So that's really exciting. We're seeing some really strong margins in businesses in Singapore and in Malaysia and Vietnam. And in the future, we'll see those margins improving and also fintech and data and others becoming profitable. And I think the forecast period about 33% adjusted EBITDA margin which is what we are still striving for.
Long Lin.: Got it. Thank you. I have another follow up for the second quarter, do you see actually, I think you talked about the macro concerns, do you see actually any potential impact from the inflation that accounted for like kind of impacted both top line and bottom line for the second quarter?
Hari Krishnan: So I think specifically to inflation, and when you look at -- I sort of mentioned it, property prices actually in all our three core markets in Singapore, Malaysia and Vietnam have been recovering. And then particularly in Singapore, they've been increased significantly and largely driven by supply constraints. The supply of inventory has been well short of the demand that's there. As I may have mentioned, there is a lot more supply coming through actually just earlier this week, the Singapore Government announced there's going to be another 4,500 build-to-order units in the public housing space that will be available in May. And we're going to see this easing of this undersupply situation begin to happen this year as the construction sector definitely heats up, the labor shortages that exist in the construction sector have been addressed specifically by the Singapore Government recently and so you're seeing that come through. So when it comes to the inflationary elements of other aspects, you haven't seen major corrections on things like interest rates and such. But you have to keep in mind; interest rates have been at record lows anyway. And I think what is significant in our markets, which is perhaps different from other developing -- other developed markets rather is the fact that the urbanization is happening in the space. You have 50 million people moving to cities and towns in this decade. They're going to need homes. So I think these are sort of macro conditions that the governments are dealing with. And so they're going to have to balance that out while sort of guarding these inflationary issues. But yes, absolutely, when you look at consumer growth, et cetera, supply chains globally have been impacted. So there are -- there is an inflationary impact that's happening here. But specific to our industry, we do believe there's an element of some underlying tailwinds that's going to compensate it for now.
Long Lin.: Got it. Thank you very much. That’s all my questions.
Hari Krishnan: Thank you.
Gary Dvorchak: [Operator Instructions] So we have a follow-up from Nick Jones. Let me, Nick, I think you’re live. Go ahead.
Nicholas Jones: Live? Okay, great. Thanks for letting me sort of follow-up in here. Just maybe taking a step back, as we try to think about kind of the dynamic in the markets and the countries you're in and maybe how it differs from how the U.S. work and how regulated is real estate there? And how does PropertyGuru kind of help maybe aggregate this kind of demand and simplify the process? Are there -- is there any color you can give on how many kind of unregistered agents kind of facilitate transactions? And are those types of things being tracked down on some of these regions? Any kind of broader color on that dynamic in the market share would be really helpful. Thanks.
Hari Krishnan: Thank you for that question, Nick. Now absolutely, I think the nature of the regulation is very -- I think your question was spot on, right? The nature of the regulation is very much around the professionalization of the property space, trying to make sure that on the agent’s side, on the developer side, there's a certain quality bar that's maintained. So in markets like -- now in Singapore, let me we start and Joe mentioned it, it is heavily regulated. Anyone who wants to be an agent actually has to pass an exam regularly, annually and is certified. They carry a license number, et cetera. Malaysia has something similar, though enforcement is not quite as strict. But that is something the Malaysian Government has been -- and real estate sector in general has been looking at. You're seeing increasingly in markets like Thailand that is happening as well. The reality is in markets like Vietnam, there are a number of people who self-declare themselves as agents. It is unregulated. You have -- it is a market with 95 million people. So it is a very large country. And so there is a big need for a lot of people to sort of intermediate and help out in the real estate sector. So I think there's an element of not trying to throttle that growth and so you're not seeing as much happen there. You do see a little bit as well in terms of making sure that people don't borrow beyond their means. So I think a lot of the cooling measures that Joe and I may have mentioned today, but also on subsequent calls are often to do with governments in our markets trying to make sure that people are aware of their household indebtedness and tracking that. And I think financial literacy is a journey that the region in general is on. And we definitely play an active role in that, in helping people understand their creditworthiness in markets like Malaysia. We've been doing that for the last two or three years, in particular, a number of products there are to help people just understand their creditworthiness, what is their affordability, things which perhaps are table stakes in developed markets are opportunities for us. The final part I'd say is compared to a market like the U.S. where you have -- listing is completely standardized on MLSs, multilisting services. You have a single source of truth when it comes to data, platforms such as CoreLogic are able there to standardize. Those are greenfield opportunities for us in our markets, but there’s no equivalent. In many markets, we become effectively the de facto MLS, if you like, but we are not trying to occupy that space with our marketplaces. With our data services businesses, there's absolutely an intent to become that single source of truth when it comes to property data. And what that looks like, does it look identical to what's available in North America or Western Europe, I think we're definitely going to take inspiration from some of those elements, but some of the means here and some of the opportunities that exist here are unique to our market. So I think we'll back our technology capabilities to try and address those programs.
Nicholas Jones: Great. Thank you.
Hari Krishnan: Thanks, Nick.
Gary Dvorchak: [Operator Instructions] We've got Simon Wong [ph]. Simon, go ahead.
Unidentified Analyst:
Tech in Asia:
Hari Krishnan: Thanks for the question, Simon. No, absolutely. I think one of our strengths as a company has been focus. I think over the last 15 years, what we tend to do is focus on specific markets or specific opportunities and try and make sure we address them in a systematic fashion. As I'm sure you might know, seven years ago, we were the market leaders in Indonesia. Our assessment of the marketplace business model was it had certain challenges. We decided to actually divert our focus in many ways to markets like Vietnam and Malaysia and pursue a journey that would ensure market leadership there and on a strong monetization model. We've been successful in doing so. And then obviously, in our core market, frankly, we've been able to you can see with EBITDA margins, we're able to sustain a pretty strong position with a very low dependency and most of our traffic is organic. So I think the strength of our model is the two-sided marketplace has very strong network effects once you get things working well. And your monetization capabilities increase in markets where there is the ability to monetize, in this case, agents with the marketplace business model. We remain very bullish on Indonesia, but not necessarily in the marketplace model itself alone. We do sell fast [indiscernible]. We do a number of events over there. We have a large -- we have an awards business which is the largest one in Indonesia. So I think we are looking at monetizing the real estate sector and addressing problems more importantly, in Indonesia using other business models. So I think what I would encourage you and folks to think about us is, while we did start off as a classified site in Singapore and at the core of our Marketplaces business, we run nine marketplaces across five markets. The reality of the fact is we do have our data services and fintech businesses, which increasingly will not be reflected in this market share number, but will be addressing problems for real estate developers, banks, valuers, across these markets. So I think for us, our core markets are Singapore, Vietnam, Malaysia and now increasingly Thailand. We do operate in Indonesia, and we do believe in it. But I think we're still experimenting when it comes to product market fit over there. And as I'm sure you're aware as well, there are a number of other startups who have tried and kind of that market is still evolving, when it comes to its offline-to-online migration, when it comes to real estate itself.
Unidentified Analyst: Great, thank you for that.
Hari Krishnan: Thanks, Simon.
Gary Dvorchak: [Operator Instructions] Okay, we don't have any other questions. So I'm going to turn the call back to Hari and he'll make his closing remarks.
Hari Krishnan: Thank you, Gary. In closing, I want to thank you all, and we would like to thank you all for your interest in PropertyGuru. Our vision is to be the trusted adviser for every person seeking property in Southeast Asia. While our marketplaces match property seekers with property for sale or rent, as I just mentioned, our fintech solutions focus on easing access to property financing, thus driving growth in the sector. With data services, our data-driven insights and workflow automation software will greatly increase efficiency in the sector. As we execute our growth strategy and create value for our stakeholders, we will progress towards achieving our vision. We look forward to sharing our progress with you. Thank you all for attending. We will now end the meeting rather. Thank you. Bye-bye.